Operator: Good day ladies and gentlemen and welcome to the third quarter 2007 Hess Corporation Earnings Conference Call. My name is Nicole and I'll be your coordinator for today. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions]. I would now like to turn the call to Mr. Jay Wilson, Vice President of Investor Relations. Please proceed.
Jay R. Wilson - Vice President, Investor Relations: Thank you Nicole, good morning everyone and thank you for participating in our third quarter earnings conference call. Our earnings release was issued this morning and appears on our website www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of Federal Securities Laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or provided in such statements. With me today are John Hess, Chairman of the Board and Chief Executive Officer; John O'Connor, President Worldwide Exploration and Production; and John Rielly, Senior Vice President and Chief Financial Officer. I'll now turn the call over to John Hess.
John B. Hess - Chairman and Chief Executive Officer: Thank you Jay and welcome to our third quarter conference call. I'll make a few brief comments after which John Rielly will review our financial results. Our company delivered solid operating performance in the third quarter of 2007. Our financial results benefited from strong crude oil prices and lower exploration expense which more than offset higher production costs and weaker refining margins compared to those in the third quarter of 2006. Exploration and production generated net income above the year ago quarter. Third quarter 2007 crude oil and natural gas production averaged 357,000 barrels of oil equivalent per day which was slightly above production for the same period last year. In the fourth quarter we forecast production to increase to approximately 390,000 barrels of oil equivalent per day as a result of recommencement of natural gas production from the Cromarty Field in the UK, North Sea. Start of production from the Snow Wheatfield in Norway and from the Genghis Khan Field in the Gulf of Mexico. Completion of facilities work on various North Sea fields, and the Cats pipeline system, ramp up of crude oil production at the Okume Complex in equatorial Guinea which is on track to reach a net plateau rate of 40,000 barrels per day by the first quarter of 2008 and resumption of natural gas production from the Malaysia, Thailand, JDA which restarted operations on October 10th after a 50 day shut in to install facilities required for Phase II development. For the full year 2007 we expect production to average between 375,000 and 380,000 barrels of oil equivalent per day. With regard to exploration we currently have two wells drilling in the deepwater Gulf of Mexico. The first is Bob North which is a micene [ph] prospect being drilled on Mississippi Canyon Block 860. Hess has a 30% interest in the prospect and we expect to reach TD during the fourth quarter. The other well is Pony Number 2 in which Hess owns a 100% interest. Operations resumed last week after being temporarily suspended. While the Ocean Baroness drilling rig completed a statutory Coast Guard ABS inspection, we expect to have results around year end. In the fourth quarter we will participate in two additional exploration wells. In the deepwater Gulf of Mexico, the Tubular Bells number 3 well in which Hess has a 20% working interest spud on October 19th and is expected to be the final appraisal well on this discovery. Also in December we will spud the first of four initial Wildcat wells on our 100 % owned WA390-P block in the Northwest shelf of Australia. Each of the Australia wells is expected to take about 30 to 35 days to drill. In September we contracted for the new build Stena MAX III Drill Ship for 5 years beginning in the middle of 2009. This rig will enhance our ability to execute our global deepwater exploration and development drillings programs. Turning to marketing and refining, our financial results in the third quarter of 2007 were below those of the year ago period. While operating performance was solid across our businesses, earnings were negatively impacted by lower refining and retail gasoline margins. I will now turn the call over to John Rielly.
J. P. Reilly - Senior Vice President and Chief Financial Officer: Thanks John, hello everyone. In my remarks today I would compare third quarter 2007 results to the second quarter. Net income for the third quarter of 2007 was $395 million compared with $557 million in second quarter. Turning to exploration and production, income from exploration and production operations in the third quarter of 2007 was $414 million compared with $505 million in the second quarter. Excluding the items affecting comparability in earnings, the after tax components of the decrease in earnings are as follows. Higher selling prices increased earnings by $64 million, lower sales volumes decreased earnings by $86 million, higher cost primarily exploration expenses decreased income by $36 million, all other items net to an increase in earnings of $15 million for an overall decrease in third quarter adjusted income of $43 million. The exploration and production effective income tax rate for the first nine months of 2007 was 50%. In the third quarter of 2007 our E&P operations were under listed compared with production resulting in decreased income in the quarter of approximately $30 million. As indicated in the earnings release third quarter 2007 results include an out of period charge for the estimated cost of settling production imbalances at a Gulf of Mexico field and the North Sea field resulting from adjustments to meter readings. Production imbalances were determined to exist between the company fields and third party producers using common transportation and production facilities. The estimated cost of settling these production imbalances amounted to $33 million after income taxes. Turning to marketing and refining; marketing and refining earnings were $46 million in the third quarter of 2007 compared with $122 million in the second quarter. Refining earnings were $25 million in the third quarter of 2007 compared with $87 million in the second quarter. The corporation's share of revenues income after income taxes was $12 million in the third quarter compared with $49 million in the second quarter due to lower refining margins. During the third quarter the corporation received a distribution from a vendor of $75 million. Poor rating earnings were $10 million in the third quarter of 2007 compared with $35 million in the second quarter. Marketing results were $21 million in the third quarter of 2007 compared with breakeven results in the second quarter. After tax trading income was breakeven in the third quarter of 2007 compared with income of $35 million in the second quarter. Turning to corporate and interest, net corporate expenses amounted to $28 million in the third quarter of 2007 compared with $32 million in the second quarter. After tax interest expense was $37 million in the third quarter compared with $38 million in the second quarter. After tax interest for the full year is currently anticipated to be in the range of $160 million to $165 million. Turning to cash flow, net cash provided by operating activities in the third quarter including a decrease of $41 million from changes in working capital was $863 million. The principle use of cash was capital expenditures of $735 million. All other items amounted to a decrease in cash flow of $45 million resulting in a net increase in cash and cash equivalents in the third quarter of $83 million. At September 30, 2007 we had $565 million of cash and cash equivalents. Our available revolving credit capacity was $2.618 billion at quarter end. Total debt was $3.985 billion at September 30, 2007 and $3.772 billion at December 31, 2006. The corporation's debt to capitalization ratio at September 30, 2007 was 29.5% compared with 31.6% at the end of 2006. This concludes my remarks we'll be happy to answer any questions. I will now turn the call over to the operator. Question And Answer
Operator: [Operator Instructions]. Your first question comes from the line of Ms. Nikki Decker with Bear, Stearns. Please proceed.
Nicole Decker - Bear Stearns and Company: Yes, good morning.
John B. Hess - Chairman and Chief Executive Officer: Good morning.
Nicole Decker - Bear Stearns and Company: I think I would like to start with your Gulf of Mexico program, you've made some comments in the past indicating that you would be a participant in the lease sales that occurred in the last quarter, maybe you could bring us up to date on the results there.
John B. Hess - Chairman and Chief Executive Officer: Yes. We did bid on prospects that we identified as being attractive to us in the Central Gulf lease sales Nikki. We were pleased with the blocks that were awarded and I don't know if there is anything more I can add to that.
Nicole Decker - Bear Stearns and Company: Well perhaps may be you could talk about now that you've got your positions secure maybe what further activity you plan at Jack Hayes [ph]?
John B. Hess - Chairman and Chief Executive Officer: Jack Hayes remains a tight hold. We are obviously doing further amount of work in the Western Gulf of Mexico. The Western Gulf lease sale was quite an active lease sale and more work will be dependent on the context of the rest of our work program in the Gulf of Mexico obviously.
Nicole Decker - Bear Stearns and Company: John when you talk about your participation in lease sales were you active in both or just the western sale?
John B. Hess - Chairman and Chief Executive Officer: We were active just in the Central Gulf sale. We did screen through all of the opportunities that were available in the Western Gulf sale but we did not identify any prospects that really met our threshold for bidding.
Nicole Decker - Bear Stearns and Company: Okay,one more from me. You did not mention Wilke [ph] in your formal remarks, what's the status there?
John B. Hess - Chairman and Chief Executive Officer: We expect that the operator BP will secure a rig and will spud the well this quarter.
Nicole Decker - Bear Stearns and Company: Great, thank you.
John B. Hess - Chairman and Chief Executive Officer: Okay.
Operator: Your next question comes from the line of Paul Sankey from Deutsche Bank. Please proceed.
Paul Sankey - Deutsche Bank North America: Hi, good morning everybody.
John B. Hess - Chairman and Chief Executive Officer: Good morning.
Paul Sankey - Deutsche Bank North America: Guys you've reduced debt-to-cap over the course of this quarter and obviously we've got the oil price running quite ahead of expectations in Q4 to date keeping in mind also you've got a high leverage to light sweet crude prices. We know that in the past you've talked about growth as a focus of your fewer reinvestments, if we were to continue with this kind of price environment would you, how... could you talk a little bit about how you would spend the excess cash flow that would be implied in 2008, thanks?
J. P. Reilly - Senior Vice President and Chief Financial Officer: Good question Paul, it is a little premature to make those sorts of estimates on where prices might be so with that as sort of a guideline we continue to put the priority on investing our cash flow to grow our reserves in a financially disciplined and sustainable manner. Majority of our cash goes to that. Obviously these higher prices are giving us little extra cash and they are improving our debt-to-cap as well, but I think it would be premature to say that there would be a strong call on that cash for other purposes outside of the organic growth program that we have given that we're still finalizing our budget for next year and it remains to be seen where these crude prices end up. So, right now we're happy to have a little bit more liquidity, a little bit more cash on the balance sheet, a little stronger debt-to-cap ratio but at the same time the majority of our cash flow is still being dedicated to our E&P program through our reserves.
Paul Sankey - Deutsche Bank North America: But I guess the evidence here, John is that, you would be working for us to paying down debt as kind of excess cash flow destination?
J. P. Reilly - Senior Vice President and Chief Financial Officer: It is certainly continuing to improve our balance sheet, to improve our investment grade rating is top priority for the company but it definitely comes as a second one to the growth in our reserve. So our priority is still the growth in reserves.
Paul Sankey - Deutsche Bank North America: Okay, that's great and if I can just have a follow up, could you talk a little bit about your outlook for the UK gas market and your exposure to that, its nice to believe you've got Cromarty you mentioned in your comments coming back on, just any observations you have got would be interesting and I'll leave it there, thank you?
J. P. Reilly - Senior Vice President and Chief Financial Officer: Well right now, obviously there has been a very strong rebound in UK gas prices in part to some signs of winter coming and just the supply and demand fundamentals going into the winter. We're very happy that Cromarty is back on getting the current spot price which is in the 50-P range and we're very happy about that. Where the market goes for the winter will depend very much on the weather and right now its very economic for us to produce that gas if prices were to go down to the low levels of last year we certainly would consider shutting the gas in again. So how long we produce Cromarty will very much dependent on the market conditions that we're presented with.
Paul Sankey - Deutsche Bank North America: Thank you.
Operator: Your next question comes from line of Robert Kessler from Simmons & Co. Please proceed.
Robert Kessler - Simmons and Company International: Good morning, it seems that EOG has raised the degree of attention paid to the Balkan Shale recently, I don't think you're at the... you have got a direct interest in the Balkan [ph] field but you do of course have a substantial degree of acreage up there, can you comment about, what sorts of initial production rates you have seen of late and what your expectations are for that program going forward?
John B. Hess - Chairman and Chief Executive Officer: Robert we like to think that we're one of the first movers in the Balkan quite frankly as being one of the bigger and longer present operators. Just to recap for others that may not be familiar, we have net interest in about 320,000 acres covering the Balkan play. We currently have some 36 wells on production with three more completed and are waiting tie-in so we will end the year with some 40 wells. We're currently running 6 rigs and we would expect in time to see that number move to 8 and then to 10 in a controlled and effective manner. The issue of initial production rates is somewhat complex one because different operators describe that differently. We tend to discuss an average 30 day rate as being the IP for the wells as they do vary from 300 barrels a day to in excess of a 1000 barrels a day. Currently the average for all our wells on production is some 300 barrels a day of 43 to 44 API crude.
Robert Kessler - Simmons and Company International: Thank you for that. How might you describe the longer term production profile decline rates after the initial first 30 days?
John B. Hess - Chairman and Chief Executive Officer: In aggregate we see significant continuing production over time and we see an extended life for Balkan production net to us. After 30 days the well is pretty much stabilized and I think continue at that rate without significant deterioration after the initial period.
Robert Kessler - Simmons and Company International: Thank you very much.
Operator: Your next question comes from the line of John Herrlin from Merrill Lynch. Please proceed.
John Herrlin - Merrill Lynch: Great. Got a couple of quick ones, In Australia how long will the well take to reach TD?
John B. Hess - Chairman and Chief Executive Officer: John we think obviously being the first well that we will operate offshore Australia, we don't have a very good data base but the well is planned of course for 35 days from spud to TD.
John Herrlin - Merrill Lynch: Great, thanks John. With Genghis, what's the current rate and what's the ramp on Genghis for you?
John B. Hess - Chairman and Chief Executive Officer: Well currently we are completing the second well on Genghis. It is just one well on production right now and in terms of the performance of the well or wells I would thank you John to leave it to DHP, the operator to comment on that although they are not commenting in advance on that.
John Herrlin - Merrill Lynch: Okay and next one from me is on Pony. Have you drilled that to plugs yet, where are you in terms of restarting?
John B. Hess - Chairman and Chief Executive Officer: We have not, we have pulled the storm packer but we've not filled the plugs out yet. So I am still confident that we will see TD in this well by year end but the intermediate steps are a little less clear.
John Herrlin - Merrill Lynch: Okay. Regarding the Central Gulf of Mexico sales, you guys kind of got out did on a lot of things, are you seeking into partners since you had a lot of other competitors interested in same place?
John B. Hess - Chairman and Chief Executive Officer: There is a degree of knowledge that is compatible with other people who have secured blocks that we were interested in and it would be surprising if we didn't have conversations with respect to sharing both knowledge and equity in some of the prospects. So yes, I think that... those discussions will be ongoing John.
John Herrlin - Merrill Lynch: Okay, last one for me is on marketing. Any sign where the prices are running back up on gasoline and that demand is waning at all?
John B. Hess - Chairman and Chief Executive Officer: No, both outside for gasoline and inside for the sea stores were pretty consistent even at this time of our same store sales being up 2% year versus year. And as you know John and people on the call, while crude prices have gone up quite a bit, gasoline is actually down since April so the retail price is not seeing the full impact of the crude price as of yet.
John Herrlin - Merrill Lynch: Great, thanks very much.
Operator: Your next question comes from the line of Paul Cheng from Lehman Brothers. Please proceed.
Paul Cheng - Lehman Brothers: Hi, good morning gentlemen. I have several quick ones. This is for John Reilly. John you mentioned that in the third quarter you have a $30 million under listed position, is that's for the third quarter, as of the end of September are you underneath or are you overleaf of the balance.
J. P. Reilly - Senior Vice President and Chief Financial Officer: So for the quarter correct, we under listed production, just under 1.4 million barrels in the third quarter. The top three countries that were under listed were Norway, EG and Gabon. For the full year we're actually, if you are asking for a year-to-date through September 30, we're actually under listed in the 3 million barrels range. Now this doesn't mean that our inventory position is out of line, we just came in to the year with lower inventory balances at that point and so we've just been in under listed production in the normal course and just in general for guidance for the fourth quarter we don't see any significant over lift or under lift right now. So, based on as John said earlier, 390,000 barrels per day production we see as coming in with sales volumes around that number in the fourth quarter.
Paul Cheng - Lehman Brothers: Okay, and John what is the mid-term adjustment, is it related to the periods earlier this year or your prior years.
J. P. Reilly - Senior Vice President and Chief Financial Officer: Predominantly for prior years actually, just a small piece in 2007.
Paul Cheng - Lehman Brothers: Okay, and this for John O'Connor, John. I think in the second quarter conference call at the time of the fourth quarter production guidance you said in excess of 400 and I think when now that we're talking about 390 is there any feel that have come up lower than expected or the recovery has been little bit higher than expected?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: No, I don't think so Paul. I think that probably the major impact is that the work of the JDA, the 50 day shut down while the bulk of the work plans to be completed then was completed effectively, there is another 20 day shut down in the JDA for final tie ins that will occur in December and that is something that was not forecast at the point in time that you mentioned that really is the impact.
Paul Cheng - Lehman Brothers: So, and I thought an update in December.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Another 20 days in December that's correct.
Paul Cheng - Lehman Brothers: And given that 20 days that means the JDA that was shut in totally or was just partially shut.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: No, totally shut in.
Paul Cheng - Lehman Brothers: Total shut in okay, John and the I know it must be early, any tie off during program that you can share with us for next year on the exploration front I mean how many Wildcat wells that you're going to drill or what kind of expense or capital that you may spend?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: I would love to share that with you Paul but my staff would kill me because they are still working this up.
Paul Cheng - Lehman Brothers: Okay, so I presume that we don't have anything onto CapEx for 2008 at this point its too early right?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: It's too early Paul.
Paul Cheng - Lehman Brothers: Okay, final one for the Balkan Shale, how many doable prospects there you still have?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Oh! Man I mean.
Paul Cheng - Lehman Brothers: What is the inventory, are we talking about for the next 5 years that you will continue drilling, how many wells are you going to drill a year.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Yes I see the annual drilling rate ramping up over the next five years Paul. As I mentioned earlier we're currently running six rigs. We see the program going to tend probably in a controlled manner by around the end of 2009 or 2010, so there is absolutely no shortage of drilling locations, we'll be very busy in the Balkan for the foreseeable future.
Paul Cheng - Lehman Brothers: And when we look at Balkan that, I mean if you do the simple math it seems to me, right now its about 10,000 barrel per day of production to you guys and when we look at by 2010, 2012 when we get to a 10 rig program what kind of sustainable production that we may be talking about?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: First of all Paul, currently the, net production to offset the Balkan is more in the order of 4500 barrels a day and of course increasing. We are approaching this as I said earlier, in sort of a disciplined controlled manner and forward projections of the total program really won't be available in a sense of the manner until about this time next year. So we are still determining optimum technologies for drilling and completion, we're identifying sweet spots in the play as a whole so a lot of moving parts still.
Paul Cheng - Lehman Brothers: John, you are saying that you are spoiling the 500 barrel per day in net so that suggest that your average interest is roughly above 50%?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Well, it varies all over the place Paul. I mean in some locations it is higher than 90% and in other it's just more like 50%.
Paul Cheng - Lehman Brothers: Okay, very good, thank you.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Okay, welcome.
Operator: [Operator Instructions]. Your next question comes from the line of Mark Gilman with Benchmark. Please proceed.
Mark Gilman - Benchmark: Hi guys, good morning. A couple of things if I could please. John O'Connor, do you have any guesstimate as to when the step down in the profits split on ACG is going to hit you, is it around the middle of next year, plus or minus?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Mark, really what's happening with the step down on ACG and in fact we say step down what the PSC has is rate of return type triggers on a profitable oil split and there is actually two triggers that will happen. But really we've got to leave that to BP. They are the operator, they will be working with... on that trigger and again anything we give you as far as our production guidance we give in 2008 would encompass that and again should that trigger happen in 2008.
Mark Gilman - Benchmark: Okay, thanks John. Secondly it seems that there has been some positive results from recent Fulhorm [ph] drilling activity suggesting there maybe some upside to previous estimates in the field. John O'Connor any comment on that?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: No comment Mark.
Mark Gilman - Benchmark: Okay I will try for strike three, John. Has there been any success or attempt to renegotiate the pricing provisions of the West Med gas contract.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: There is a lot of activity associated with the West Med ownership. We're currently shooting the multi-azimuth seismic. The operating company in Nalpepto [ph] has been established. The contract for a front end engineering design has been awarded and the project engineering design work has commenced as the contractors UK offices. The pipeline of this survey offshore is very near completion, the location for the gas plant has been essentially agreed with the authorities so a lot of progress there Mark and we think that combination of firm, cost estimates together with commodity pricing understandings will come together in the first quarter next year.
Mark Gilman - Benchmark: Okay, I'll call that foul ball which means I get one more.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Oh well.
Mark Gilman - Benchmark: When you acquired the interest in Genghis Khan, I think that at least in part it was motivated by drainage related concerns and issues re-Shenzi, how should we look at the profile of Genghis Khan versus the previously indicated plateau rate of 100,000 gross at Shenzi?
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Very good question. I would say just to add a little bit texture to your observation about why the acquisition of Genghis and I think it was first and foremost a clear profit opportunity at the point in time equity interest became available to the Shenzi partners. Secondly, there were a lot of synergies in terms of full understanding of that reservoir management issues once you control the whole feature. And thirdly, there was significant opportunity for cost reductions through elimination of redundant wells both potential injectors and producers so there was an ability to optimize, take points on the feature, have a better understanding of the sub surface together with the profits opportunity, all three of which still remain valid today. In terms of the impact on the plateau, I really don't know the answer to that to be honest with you but I would think that if the sub surface performs as we expect it to perform then we really have two production facilities on the same feature. So we have the design capability for the TLP elements of which will be installed through 2008 together with the ability to process the Western flank if I could call it that to the Marco Polo facility. So I think we would look at it stage as being additive.
Paul Cheng - Lehman Brothers: Thanks John.
John J. O'Connor - Executive Vice President and President of Worldwide Exploration & Production: Okay.
Operator: And I show no further questions at this time.
John B. Hess - Chairman and Chief Executive Officer: Well, thank you very much for attending our call and we look forward to having you on our January call, have a good day.
Operator: Thank you for your participation in today's conference. This concludes the presentation and you may now disconnect. Good day.